Operator: Good day and thank you for standing by. Welcome to the PostNL Q3 2024 Results Conference Call. At this time, all participants are in listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Inge Laudy, Manager, Investor Relations. Please go ahead.
Inge Laudy: Thank you, Operator, and welcome to you all. We have published our Q3 2024 results earlier this morning, and as usually, we'll explain the set of results to you in this analyst call. With me in the room are Herna Verhagen, our CEO; and Pim Berendsen, our CFO. Pim will present the results to you and after that we will open the floor for Q&A where Herna and Pim will answer your questions. But first I want to hand over to Herna. Please go ahead.
Herna Verhagen: Good morning to you all and I'm sure that you have seen the announcement of this morning about my step down as CEO of PostNL after twelve and a half years as of the AGM in 2025. It was a careful decision taken by me. During my period as CEO, PostNL has turned into a provider of logistical e-commerce solution that combines the physical delivery of Parcels with the digital world that is all around us, and at the same time, we contribute to the importance of a strong postal service and essential infrastructure. It has been a great honor and I have enjoyed the fruitful conversations we have had ever since. I'm proud that the Supervisory Board has chosen Pim as my successor, a successor that comes from within PostNL. Choosing him means a choice for continuation of the chosen strategy, which also means that the path towards margin improvement at Parcels and financially viable postal services will be continued. And next to that, I have full confidence that Pim will be an ultimate good CEO for PostNL. For the next coming five months, we will remain working together in our current roles, and then, of course, in April, I'll pass on my duties to Pim. And I also pass on now to Pim to explain the third quarter results.
Pim Berendsen: Well, thank you, Herna. And before I go there, I want to share a few words to you as well on this call and it's with the biggest respect and admiration, honor, and privilege that over time in April, I am in a position to take over the role as CEO. And you've led the company in a very, very strong way. You've touched a lot of people, inspired a lot. I admire you as a person, as a character, as a leader. You've led this company through very, very tough circumstances and that's also why I'm very happy that we still have five more months to work together very closely to make the transition hopefully as smooth as possible for me. So I would like to start with that. Then, yeah, back to the business of today, looking at our Q3 results. As anticipated, the Q3 results were negative. Normalized EBIT came in at minus €80 million, predominantly or actually only driven by the performance of our Mail-related activities. Parcels reported a positive and improved result in challenging market circumstances. Based on the results so far this year, and with confidence in strong peak season, we expect normalized EBIT of around €80 million for this year, in line with analyst consensus. Let me start by summarizing the main developments for Q3 and then put these in the right perspective to illustrate why we have confidence in a strong peak season. Volumes at Parcels continue to grow their growth trajectory, supported by acceleration in Domestic volumes growth. Strong growth from our International customers continue and we see a gradual improvement in results contribution from this growth. It's important to mention that our market share remained stable throughout the quarter. At Mail in the Netherlands, we reported a volume decline of around 6.3%. Also in this quarter, high organic cost increases, €34 million, mainly labor-related. Good to know that we've agreed a new collective labor agreement for PostNL and Saturday workers, and earlier this year, of course, for our Mail deliverers. This means that for 2025, we've got a clear and -- clear vision on the development of our labor costs. Carbon efficiency improved by 14% and this all forms the basis of Q4 where we will see a significant step up in EBIT. Looking at Parcels as said the volume growth is encouraging. Growth was picking up in the quarter also during the quarter towards an exit rate of 10.7% in September and it's continuing in October. The same developments is visible in normalized EBIT after week summer months June, July and August. The September result was clearly above last year bringing the full quarter result for the first time this year above last year's numbers. For Mail in the Netherlands the year-to-date loss was €19 million where we fully rely on the seasonal Mail and the greeting cards for Christmas to make up for this loss. This brings me to the next slide which will tell more on the necessary actions towards a future-proof postal market in the Netherlands. As said the loss of €19 million over the first nine months of 2024 down €15 million compared to last year and an unsustainable business model that relies on the performance of a few weeks to cover the losses made during the rest of the year. Therefore, we strongly believe that adjustments in the universal service obligation and a financial contribution are necessary to secure that the legal duty of the USO is not loss making. Although, they acknowledge that adjustments are necessary Parliament wants to wait for more background information such as research that is currently being conducted by ACM before deciding on next steps towards a future-proof postal market. We will stay in close contact with the ministry and politicians to explain that the current situation is unsustainable and we will strive to look for a future proof solution as soon as possible. In the meantime, we have to take additional actions, next to the already communicated migration of non-USO Mail to a standard service of within two days as of the 1st of January, 2025. We are now considering further impactful measures and examples are emptying mailboxes on streets during daytime instead of in the evening, as well as considering potential further price increases for sending Mail. Obviously both and all measures will be within the boundaries of existing law and regulations. This will be inevitable to safeguard a future-proof and financially viable postal service that ensures predictable delivery for everyone in the Netherlands while also providing job security to tens of thousands of people. Then we move to Slide 5 to explain a little bit how that would work. As we've announced earlier all non-USO Mail will be migrated to a standard service of within two days as of January 2025. That is roughly 70% will migrate as of January. Let me explain how this works so that you also understand how this migration will result to additional cost savings in delivery. We will transfer the majority of business Mail that is currently delivered next day so the light orange boxes in the upper graph to the two peak days per week. As a result, and that's visualized in the bottom graph, volume on peak days increases. This will translate to a lower cost per item on peak days due to higher drop duplication. At the same time, we can achieve cost savings on off-peak days because of a 35% reduction in delivery time and the transit time between addresses will mainly be done by bike instead of on foot and off-peak delivery routes will be combined. There is potential for further optimization if we can consolidate Mail delivery to two days a week which is a service level of three in the future. Then in -- on Slide 6 the summary of the Q3 performance. A minus €80 million normalized EBIT primarily driven by the performance of Mail related activities which I was making. Parcels showed a positive and improving outcome. Revenue at €756 million, 5% higher compared to the same quarter last year. Free cash flow minus €68 million and explained by phasing effects and interest and tax paid in comparison also to last year. Overall a weaker result compared to last year and let's move on to the segments for a more detailed explanation of the relevant developments. But before we go there, a quick update on our strategy on Slide 7. We are delivering a distinctive customer and consumer experience to be the leading logistics and postal service provider into and from the Benelux region. You know that the strategic foundation comprises of three pillars. Parcels is managed for sustainable growth. Mail in the Netherlands will manage for value. And the acceleration of digitalization will focus on simple and smart digital customer journeys to strengthen our position. We now have 9.3 million Dutch consumer accounts, and going forward, our out-of-home strategy will become more important. Our APL network is one of the pillars of this strategy and we now have close to 1,100 automated parcel lockers in use. Our ESG goals are fully incorporated in our strategy. And this quarter, we saw a 14% further improvement in average carbon efficiency compared to last year. Clearly, our people play a crucial role, and in this quarter, we've reached an agreement on new collective labor agreements for PostNL and Saturday workers. This group comprises around 16,500 employees and the new CLA will run from April 2024 until June 2026. Over that period, wages will increase with 7% in four steps. And the first wage step of July this year is paid retroactively, and as a result, will be visible in our Q4 results. All to achieve our ambition to be your favorite deliverer with 225 years of dedication, trust and innovation. Then to Parcels. We are pleased to see our results for the first time outperforming last year's quarter. Revenue came in at €569 million, €34 million higher than last year. Volume growth of the quarter 7.4%, with a very strong September showing a growth rate of 10.7%. For the quarter, Domestic volumes grew by 1%. But also here in September, 2.7% exit rate on Domestic, which is very positive. International volumes continued. Its double-digit growth was up 34%. The change in composition is, of course, also reflecting our revenue. A promising sign is that within Domestic volumes, we were able to fully offset the mix effects by tariff increases this quarter. This is not yet the case for our International customers. Overall mix effect negatively impacted the average price per Parcel by €0.04. Our cross-border activities continue the positive trend we have been seeing for several quarters already, with revenues and spring up mostly -- most strongly in Asia. Costs reflected -- significant cost increases on the one hand, mainly related to labor, but we also see positive impact from efficiency improvements due to network optimization and from the cost-saving initiatives that we've announced earlier. This brings us to the Parcel bridge on Slide 9. Reconciliation of the €1 million last year to the €3 million this year. Volume growth strongly contributed to our results. Mix effects were negative, but good to understand that product and customer mix was slightly better than last quarter and we expect further improvement going forward. On the next slide, I'll dive a bit deeper into the developments that we see in various segments and the impact on the average price per Parcel. Organic cost increases within Parcels €15 million related to labor and impact from tariff increase was €14 million this quarter. We're able to almost fully offset the organic cost increases. Other costs were €9 million better, predominantly as a result of the operational efficiency measures that we just discussed. Other results consist of various smaller items and the balance of positives and negatives resulted in a zero change compared to last year. Important to understand the mix is – the mix changes in our portfolio and the effects that has. We do see a continued shift in the volume composition that is negatively affecting our average price per Parcel also in third quarter of this year. Domestic share of SME customers is declining and we see definitely consolidation towards bigger players also towards delivery platforms. Since this quarter, we see that price increases for Domestic volumes fully offset negative mix effects, but a change in composition between Domestic and International continues, and the share of International customers in our portfolio has moved up by 5 percentage points in the last nine months, which is of course driven by the rapid growth of Asian web shops. All these elements together have a dilutive effect on price, putting pressure on margins at Parcels. Since the average price came down with €0.04 compared to Q3 prior year and slightly above last quarter's average price, which was €4.21. Important to say that our market share remains stable and that is also the aim we have going forward. We continue to operate in intense competitive environments in which we are strongly committed to sustainable logistics. If we -- anyone talks about market share, it's of course fundamental to understand what the definition of the market is and which methodology will be applied to follow that. That's why we believe it's important to say that we consistently use this same definition of market and as such of market share already for the last 10 years, looking at the business to consumer market in the Netherlands and seen from the perspective of the receiving consumer. The survey is based on Parcels received at home, collected from automated parcel lockers and retail location. It does not include returns, but as said, we consistently apply the same market definition if we talk about market shares and we see that we're staying stable, which is exactly the aim that we have. Then we move to the segment Mail in the Netherlands. Revenue came in at €2.95 million, a decline of €4 million last year, which is obviously driven by the volume decline of 6.3% due to substitution. The mix effect was negative too due to a faster than anticipated shift to non-24-hour mail. This was fully offset by the increase in stamp prices in January and July of this year. The normalized EBIT for the segment came in at minus €19 million, compared to minus €14 last year, third quarter. Labor costs increased following the CLA for Mail deliverers and due to the increase in current PostNL collective labor agreements. To be clear, we just agreed on new collective labor agreements. First financial impact of this will be visible in our fourth quarter results. The costs were partly offset by the additional cost savings of €10 million from portfolio optimization and efficiency gains and sorting and preparation. Year-to-date, we have now taken cost savings of €30 million on the Mail side and positive that we'll reach the €40 million ambition for the full year. However, sick leave rates remain high and also have resulted in additional WGA provisions, which were close to €3 million already in the third quarter. On Slide 13, the bridge for Mail shows an impact of minus €12 million from the reported 6.3% volume decline, negative mix effect of €4 million, organic cost increases of €12 million, tariff increases fully offset the organic costs in the quarter and good progress on cost savings of €10 million. Nevertheless, all in all, a deterioration in result, which again highlights the urgency for change within Mail. Then on cash flow, free cash flow was minus €68 million in the quarter, compared to minus €26 last year, a worsening of around €40 million. The lower free cash flow is mainly explained by the payment of income tax over 2019 and 2020, and related interest in the third quarter of this year and lease payments increased due to additional and lease and higher provision rates to additional WGA provisions. For the full year, we expect CapEx to come in slightly below the earlier guided €110 million and will maintain our focus on working capital and CapEx spends. This brings us to the next slide where you'll find our balance sheet and the development of the adjusted net debt, which is now €592 million, an increase of €130 million compared to year-end last year, obviously driven by the year-to-date negative free cash flow. The long-term debt increased due to the issuance of a €300 million sustainability link bond earlier this year. We'll continue to focus on strict cash flow management balance sheet and net debt position. As always, peak season volumes are crucial for our full year results and the graphs on Slide 16 indicate the indicative development of volumes over the year. For Parcels, we assume an overall growth rate of between 7% to 10% for 2024. Year-to-date, we're at 6% and we have seen encouraging volume growth of 10.7% in September, mainly due to the Domestic volume growth picking up and continuing strong growth of volumes from International customers. We see this trend continuing in October. Leveraging on our flexible infrastructure, we're well positioned for the anticipated pickup in volume growth in fourth quarter. For Mail, we assume a volume decline between 7% and 9%. Year-to-date, we're at 6.9%. Please note that the volume development is not evenly split over the quarters, mainly due to the timing and number of elections in the Netherlands. This implies that the volume decline in Q3 -- Q4 is assumed to be more negative than a given full year range due to an election effect. Full year result is fully driven by year-end seasonal Mail and development is very difficult to predict. Overall, organic cost increases are expected to be less than earlier, guided around €155 million. The gap between organic cost increases and targeted yield management will be around €15 million. Additionally, PostNL is on track to achieve €20 million of cost savings from earlier announced measures to reduce indirect cost and to improve efficiency. I think important to understand how we get from the minus 9% year-to-date normalized EBIT to the around €80 million that we communicated, which will clearly mean that the last quarter will contribute significantly to our results, even more than last year. With the anticipated further acceleration in volume growth, as discussed on the previous slide, in combination with the relief in pressure from mixed effect and higher prices combined with peak pricing in place, this provides a solid starting point for the step-up in results for Parcels. Alongside this, we're gaining momentum with our efficiency improvements, such as our initiatives to optimize collection, transportation services, as well as to rationalize some delivery options. With that focus on cost control, we're on track to realize cost savings of around €35 million that we communicated before and will be visible in the other cost line in the bridge. These drivers make that we are confident to realize the anticipated step-up in results for Parcels. For Mail in the Netherlands, the normalized EBIT result of almost €20 million will have to have to be more than fully offset with the seasonal Mail volumes in December as the main contributor. As can be seen in the graph, we expect a Q4 performance that is still material, but expected to be below last year's fourth quarter. Also within Mail, we are on track with our cost saving initiatives and expect a full year contribution of €40 million. All in all, we're confident in the step-up from year-to-date to full year within Parcels and Mail that will result in a normalized EBIT of around €80 million for the full year. Given the results so far this year and persistent volatile economic circumstances, we expect a normalized EBIT of around €80 million for full year 2024 in line with current market expectations. For normalized comprehensive income, we expect to end up around €40 million and the free cash flow is expected to be around zero. I would like to emphasize that we remain fully committed to paying out a dividend which is in line with our business performance and dividend policy. We continue to manage our cash flow balance sheet and net position carefully and anticipate that the leverage ratio for 2024 will stay below the threshold of 2 times. CapEx is expected to be slightly below the guidance of €110 million, continuing with a clear focus on strategy whilst staying disciplined on cash flow management. To close this presentation let me summarize our main messages today. We are executing our strategy to be the leading e-commerce and postal service providers into and from the Benelux area. For Mail in the Netherlands, the performance clearly underpins the urgent need for transformation of the current unsustainable business model. It is essential that the legal duty of the USO is not loss-making, which can be achieved by adjustments in the service level and a financial contribution. We are confident that Parliament in due time will take the right decisions for a future-proof postal. But do emphasize again that bridging measures are needed until a new Postal Act is in place. In the meantime, we ourselves take all the necessary and additional measures to transform the business model on top of the already announced migration of all non-USO Mail to a within-two-day service level as of 2025. We will consider further impactful measures, such as extending mailbox collection timeframes and increasing prices further for sending Mail. This will be inevitable to safeguard a future-proof and financially viable postal service that ensures predictable delivery for everyone in the Netherlands, whilst also providing job superiority to tens of thousands of people. At Parcels, we look forward towards peak season and are confident that the anticipated accelerated volume growth will materialize alongside more favorable mix effects and the realization of our efficiency improvements and cost-saving initiatives. This all will result in a significant step up in performance in the fourth quarter of this year. We are fully prepared for the strong peak season that will be crucial for our full year results. With this, I would like to conclude my presentation and hand it back to Inge.
Inge Laudy: Thank you, Pim, for your presentation. We are now open for Q&A and I would kindly ask you to limit your questions to two per person, please. Operator, could you please explain the procedure?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Amy Li from UBS. Please go ahead. Your line is open.
Amy Li: Hi. Good morning. Thanks for taking my question. My first question is on the Mail side. Can you outline what is the expected next steps in terms of whether the debate on the postal reforms will be opened at a later stage next year with Parliament on the non-USO volumes. Can you comment on or quantify the level of cost savings expected in 2025 from the move to the D+2 delivery for business Mail and will this be achieved relatively quickly or do you expect the cost savings to kick in after a few quarters of the transition? My second question is just a clarification of Slide 17 something. Am I right in interpreting that to get your current guidance, you will need to see a more than €12 million EBIT step-up year-on-year and that this will be entirely driven by the ramp-ups in Parcels? And can you maybe give a little bit of color on whether it is more volume-driven or cost-savings driven there and what are your assumptions around the volume growth in Q4 needed? Thank you.
Herna Verhagen: Thanks. Let us start with your first question, which are the expected next steps. What Parliament said or what Parliament discussed is they want to see the results of a market survey which is currently done by ACM. That survey is expected end of February and then it will be brought back to Parliament for discussion. That survey is around future Mail models, so the way we read it is there is not per se that much discussion on the necessity of changes. It is much more the urgency we feel which was not felt immediately by Parliament. And that also means that that is the reason why we keep stressing that bridging measures are necessary. In the meantime, and that is what was already said by Pim, we of course stay in close contact with the Ministry of Economic Affairs to prepare with them for the outcomes of those market surveys and to find ways for -- to find ways to find a solution to the problem we see at this moment in time for a mandatory legal service obligation we have to provide.
Pim Berendsen: And maybe on the second part of the first question, can we quantify the cost savings for the change of business Mail non-USO D+2? Yes, we briefly discussed that before. I think there's two elements to this. There's cost savings -- cost efficiencies as a consequence of the bridge and the explanation that I've given. So more volume on peak days with higher drop duplication and more condensed off-put peak days that cost significantly less time. At the same time, there will be a different revenue effect, of course, to it. But the balance of those two together will on full run rate levels contribute roughly around €1,550 million. But it will take a bit of time throughout 2025 to completely phase in, because as the slide says, we'll start the year with 70% of volume and then over the remainder of the second part of the year we expect to add the rest of the volume. So on full run rate contributions around €15 million additional cost savings. Then to the interpretation of Slide 17, where does the step up in Q4 come from? I think there's more elements to this. So what we do see is an acceleration of the volume growth to double digits in e-commerce. Also a step up of Domestic volume going from the exit rate 2.7% to slightly higher growth rates for fourth quarter. We do see that the cost reductions measures are paying off. So the step up in other costs that you can see in Q3 will be even bigger in Q4. We always said that given the fact that we've taken those measures throughout the year, the full run rate contribution will only be visible in fourth quarter. So those elements will contribute to the step up in Parcels. Compared to year to date performance, clearly Mail in the Netherlands will also step up its performance due to peak volume and seasonal Mail and an additional €10 million contribution of cost savings is expected also in the fourth quarter. So those elements together will drive the year-to-date result of minus 9% towards around €80 million that we're indicating today.
Amy Li: Yeah. Thank you very much.
Operator: Thank you. We'll now move on to our next question. Our next question comes from the line of Frank Claassen from Degroof Petercam. Please go ahead. Your line is open.
Frank Claassen: Yes. Good morning all. I've got a question on your organic costs. You've said that will increase less than earlier guided, the €155 million. What is the main reason for that? And then also on the, let's say, the €15 million, which is not absorbed by the cost, the yield management measures or the price increases in yield management. Why is this? Is this mainly a mixed effect or have the price increases been lower than you had expected at the beginning of the year? Thank you.
Pim Berendsen: Thanks for your question, Frank. The €105 million was the expectation of organic cost increases in the beginning of the year. Currently we expect it to be around about €140 million, €145 million, driven by lower increases on labor costs altogether, slightly lower increases in fuel and energy prices and the gap that was originally expected to be €20 million of price increases versus organic cost increases has shrunk to around €15 million. As we said before, we are not able in this year, in the full year, to offset those organic cost increases, probably not on the e-commerce side, because of competitive landscape that we're in. What is important is that if you follow the progress of price increases versus organic cost increases throughout the three quarters, you see quarter to quarter an improvement, and also in the e-commerce side within Q3, it's an almost complete offset of the organic cost increases through price increases. So, those are being stepped up, and also in fourth quarter, we do expect an almost balancing out organic cost versus price increase level.
Frank Claassen: Okay. That's clear. Thank you.
Operator: Thank you. We'll now move on to our next question. Our next question comes from the line of Michiel Declercq from KBC Securities. Please go ahead. Your line is open.
Michiel Declercq: Yes. Hi. Thanks for taking my questions. The first one would be returning back a bit to the USO and the delay that you had there in or the fact that they want to have some more background information with the survey. I don't know if I can recall this correctly, but I think that during the pre-earnings call, the earliest timing that you would anticipate an outcome or a potential financial remuneration would be in the spring of 2025. Given the delays that you currently, yeah, that there are now, is this still realistic that there can be a temporary measure by then? And then I think for the second question, just a bit on the CLA and the, yeah, the corrections in Q4, can you quantify how much this is and I assume this is excluded from the guidance or can you elaborate a bit more on that please?
Herna Verhagen: On your first question, the delay in Parliament means that they probably for the first time will discuss the future of Mail delivery in the Netherlands somewhere in spring. That means that I do not expect any bridging measures in spring 2025. And of course, we're looking together with the ministry into what could be the earliest moment to do something in those measures, but not to be expected spring 2025, that's too early. What we think will happen is that after the report of ACM, the discussion will start again in parliament on the future of Mail services in the Netherlands and that will lead to some measures. But the exact timeframe around that is difficult to give at this moment in time.
Pim Berendsen: Then to your second question, so the new collective labor agreement includes a wage increase per the July 1st of 2.5%, which will be retroactively accounted for in fourth quarter for the combination of the Q3 and Q4 impacts. I need to think about roughly €12 million to €15 million of impact visible in Q4, but will relate to Q3 and Q4.
Michiel Declercq: Okay. That's very clear. Thank you.
Operator: Thank you. We'll now move on to our next question. Our next question comes from the Marco Limite from Barclays. Please go ahead. Your line is open.
Marco Limite: Hi. Good morning. Thanks for taking my question. I just wanted to go back to the €15 million you mentioned as a full rate for cost savings. So, the first question is whether the €15 million is only cost savings or we should also expect some headwind from pricing as you move the product from D+1 to D+2, and therefore, lower pricing. So, the €15 million including pricing is where it goes to? Second question is, if I remember right at the start of the year, you were saying that, let's say that the measures left in terms of cost savings in Mail were kind of running out. So, you are going to achieve about €40 million of cost savings this year. To what extent you have got more measures other than the €15 million next year to introduce? Thank you.
Pim Berendsen: Thank you, Marco. Yeah. The first point what I said was the net balance full run rate was €15 million cost savings and it comprised of a negative revenue effect, let's say, around €5 million and a cost saving element of around €20 so to speak. So, that is and the balance of that is exactly as I said roughly around €15 million the full run rate effect. So, that's clearly one of the measures for 2025. There's always a part of our annual cost savings which we'll find in running processes that will normally around about €15 million a year as well just by gradually day in day out grind the business and create efficiency improvements, and as said, we also announced that we are considering taking within the boundaries of postal law additional measures given the fact that we believe change is very urgent and the examples mentioned could also contribute to cost savings in 2025. Well, as said we are considering which means we have not yet taken full decisions on what exactly we'll be doing but certainly we'll update you when we give a 2025 guidance on these topics as well.
Marco Limite: Okay. Thank you. And if I may a small follow-up. Given that we start had cost savings on wage increase for next year maybe also on pricing, do you expect in 2025 the gap between organic costs and pricing [Technical Difficulty] to be closer to zero or compared to this year at least? Thank you.
Pim Berendsen: Expected to be closer to zero and that important to see that that is already happening in Q3 and also expect to see that happening in Q4.
Marco Limite: Thanks.
Operator: Thank you. We'll now move on to our next question. Our next question comes from the line of Marc Zwartsenburg from ING. Please go ahead. Your line is open.
Marc Zwartsenburg: Yeah. Good morning, everybody. I want to come back also on the cost savings that you just referred to, Pim, €50 million. Is that, just to be clear, maybe I missed that, that is the same thing from going to the D+2 for the non-USO Mail. Is that correct or is it something else?
Pim Berendsen: It is the full run rate net contribution of the change from D+2 from business Mail. Yeah, non-USO.
Marc Zwartsenburg: Exactly. So if we get a positive verdict somewhere next year from the AFM and then okay from the Parliament, let's hope so, then it could be -- it will be on top of that €50 million, but it will, of course, be much bigger number, because then you can really make it far more efficient I would say. Is that also a correct assumption?
Pim Berendsen: Yes. Everything that we can do quicker than we currently assume on USO will be on top of this. That will indeed be a big change, but as Herna just said, there's uncertainties around the timeline and when we would be able to maybe do this. But the €15 million only relates to the non-USO business part of 24-hour mail.
Herna Verhagen: And you're correct Marc when we will be able to reduce the service level of the USO to D+2 that will create further efficiencies, and therefore, as Pim said, also extra cost savings.
Marc Zwartsenburg: Yeah. Yeah. Clear. Clear. And then a question on your guidance for Mail, I know, so for Q4 you assume a lower EBIT than last year but still a significant, however we have a tough comp there. We will have the CLA impact of Q3 on top of the, one, anticipated for Q4 of course. So there will be an extra €6 million, €7 million, €8 million clawback there. Given what we've seen in Q3, is it then logical to assume that you will get even to such a number that is a bit reflecting in your bars on the slides for Q4 for the Mail business? Can you help me explain how you think you still have a number like that roughly around that as your bar reflects? Where should that come from?
Pim Berendsen: I think a couple of elements clearly. Another €10 million of cost savings, a positive order cost development in combination to last year when there were significantly higher costs included for quality provisions and WGA a day than in this year. Next to that we anticipate a comparable -- more or less comparable contribution from Christmas greeting cards also in December.
Marc Zwartsenburg: Those are the most similar? Similar…
Pim Berendsen: More or less…
Marc Zwartsenburg: Similar card to business Parcels?
Pim Berendsen: Yeah. Just with regular volume decline aside a more or less comparable contribution from Christmas cards which is really very meaningful in the December month.
Marc Zwartsenburg: Okay. Okay. And then maybe another one, if you get those €50 million of savings in on your Mail part for next year then the USO, that's not linked to the USO, the USO will continue to be loss making. Can we get maybe a bit of numbers on that given your guidance for this year where the USO will end up for the Mail business in terms of profitability? Can you share that a bit with us where we are?
Pim Berendsen: No. The USO numbers will only make once a year. Clearly the trajectory indicates a slight loss or close to zero for the USO on cash operating income level which is the level that we report to on USO. On a normalized EBIT level it will certainly already be loss making in 2024. We expect clearly the development of volume decline to continue and indeed we anticipate also a negative result on universal service on great level for 2025. At this point we're not going to indicate how much we expect it to be, but it will certainly be loss making, and although, the measures we just discussed are not directly related to USO, USO partially benefits because the cost allocation will allocate more shared costs between the different products. So, it's not a USO related cost saving, but it will also slightly contribute towards the USO results. How much and how much we expect it to be is really now too early Marc.
Marc Zwartsenburg: No. But that gives already a bit of color. That's very good to know. Then at least me to say congrats to you Pim on your promotion to CEO and then I wish to thank Herna for her support for all those years and hopefully we'll see you live in person somewhere over the next month or early next year. Thank you.
Pim Berendsen: I'm sure we will. Thank you, Marc.
Herna Verhagen: Thank you.
Operator: Thank you. We'll now move on to our next question. Our next question comes from the line of Henk Slotboom from The Idea. Please go ahead. Your line is open.
Henk Slotboom: Good morning. And also on behalf of this side, Pim congratulations and Herna, the question to you is when is the farewell drink? That's of course important. Okay. Whatever. And I've got three questions if I may. First of all, on Parcels. Pim, I think as long as you're a CFO, this is one for you. If I look at the delta in the work contracted out, year-on-year I see an increase of €27 million. The delta in salaries at Parcels is only €3 million. Now a couple of years ago you presented a plan that you wanted to do more with your own deliverers, but I don't see that reflected in the numbers I see here and moreover I'm asking this question, because we're heading towards the peak season and the transport CLA is more generous than the CLA PostNL has I believe in place for its deliverers. Wouldn't it be more logical to indeed step up the hiring of own PostNL to do the delivery despite all the talks about flexible shelves and that sort of things. The second question I have relates to the peak period. This year we have a bit of a strange phenomenon. We have Black Friday, Cyber Monday and Sinterklaas all falling in the same week and I had a chat with one of your peers this morning and he told me, yeah, we don't know what kind of an impact that will have on the volume of people on the buying activity of consumers online, whether they go online or whether they spend their money in retail stores fearing that there might be delays. But more importantly, the peak period, it makes the peak period more difficult to manage, because the peak will get peakier and the, yeah, the period before or after such a peaky peak gets quieter than normal. How do you look at that, and perhaps, you can tell me what it means for the efficiency of your business? And the final question I have is on the SME side of the business. Last time we met we discussed the initiatives PostNL was taking on, yeah, revitalizing the growth in this segment, because obviously margins in the SME segments are higher than on the platform business. And what went wrong? Is this company specific? Did the initiatives not work or do you see so much additional growth in the platform business that the SME volume basically dilutes as a percentage of total? Those were my questions.
Pim Berendsen: Okay. Maybe I take one and three, and you take the middle one.
Herna Verhagen: Yeah.
Pim Berendsen: So, first one, well spotted. I think that the work contracted out develops different than our own staff, cost salaries and indeed we have the strategic intent to have more of our own deliverers within Parcels. Yet again, it is more than just Parcel deliverers. There's also International in that work contracted out period that relates to transport, import, export Mail and Parcels outside the Netherlands. But it is also true…
Henk Slotboom: Right.
Pim Berendsen: … that we see slightly higher churn with the people that we hire for our own Parcel delivery. Although we spend an awful lot of time in making sure they get the right training, it is difficult to have that stick in a way. So if the churn is too high then actually also the cost advantage is no longer there and then you're better off not pushing for an accelerated change towards more own Parcel deliverers. We'll continue to strive for this but only if the logic is there. So if we can attract the right people that would love to do the work and will become effective and enjoying the work for longer periods than some are currently doing. So I think that is an important answer to your question as well. Strategic intent the same but facing it based on the developments that we see. On the SME side, it is truly and only the last point. It is dilution because of the fact that bigger customers both bigger Domestic, as well as bigger Asian customers are significantly outgrowing the Domestic SMEs. And you also see that platformization and not only at those bigger Dutch and International platforms, but also the platform businesses that just connect supply and demand are also growing significantly faster than they themselves. So what you see is a gradual client concentration that moves up to bigger and bigger customers. That is what we see and we also see at the same time that the initiatives that we're taking are helping to avoid churn. We still have that direct access to SMEs that's also for them important. So we're happy with the progress we're making ourselves, but nonetheless that means dilution of the SME share because of market circumstances. Herna, maybe you can take the peak.
Herna Verhagen: So the -- I think the peak season this year is indeed different from what we ever had before. So we never experienced to have those three days within a week. It's only within five days. That also means that the organization around the peak is different. The beauty of having a short peak is that your ramp up can start later and that your ramp down needs to go quicker after Sinterklaas and then again we expect a peak just before Christmas and that's how we organized the operation. So it's a totally different organization than we had last year. It is therefore also more cost-efficient operation as well. What we -- so that's one. When we talk to customers about this peak and is there uncertainty around the amount of volume because also a part of your question is we still expect that people will buy quite a lot of stuff for their Sinterklaas and Christmas, but we also do expect that quite a lot will be bought before Black Friday. What you see happening with the fulfillment centers is, of course, that they also try to start earlier fulfilling and packaging all those Parcels. So, yes, it's a peak that on the one hand and on the other hand it's also an opportunity to organize it differently from last year. I think what the biggest uncertainty is what sort of, now let me say differently, the biggest uncertainty is do consumers buy in China or do they buy at Dutch or Benelux platforms. I think that's an uncertainty which is difficult to forecast. Next to that we're of course also organizing our peak in Belgium which is totally different from that in the Netherlands because their Sinterklaas is much smaller than what we have in the Netherlands and there it's much more focused around Christmas. So we have a different peak in the Netherlands than when you compare it to Belgium.
Henk Slotboom: Yeah. Well, I'm glad I'm not in your shoes managing this peak because I think it's quite a challenge. Perhaps I can squeeze in another question and that's on the platforms. You discussed it that it is a growing part of your business. I was at the Parcel Expo a couple of weeks ago in Amsterdam and there was talk about the Chinese platforms and how they were pushing towards longer payment periods so before you get paid and I understood that one of your U.K. peers is currently well they used to charge the shillings of this world after 90 days and that they already had questions about can we do it in 180 days. Is that something you'll recognize as you see in your business as well, because you're growing -- your International business is growing much faster than your Domestic business. Is that something you're seeing as well?
Pim Berendsen: Quite frankly no and I don't see us accepting those type of payment days factor [ph].
Henk Slotboom: Very wise. Okay. Those were my questions. Thank you.
Operator: Thank you. We'll now move on to our next question. Our next question comes from the line of Andre Mulder from Kepler Cheuvreux. Please go ahead. Your line is open.
Andre Mulder: Yeah. Good morning. Great to be back. A question on the review of ACM. I assume it will be a sort of copy, because you know your clients better than ACM, so it's likely that they will use your data. So I'm interested in how do you look at the market going forward in terms of volumes and in terms of needed services. Are there going to be big changes compared to what we've seen in the last few years?
Herna Verhagen: So good to hear you back indeed and when we look into Mail market we expect that volume decline will continue. So also over the next coming years we expect to have a volume decline somewhere between 7% to 9%. So no changes in a volume decline. Secondly what we expect to happen is we see an accelerated trend in the decline of 24-hour mail and that's what we expect to continue as well. So we see a decline in general and within that we see even a more accelerated decline of the 24-hour mail and that's also putting one of the reasons why there is pressure on the margins within our Mail organizations. Secondly what we did do before we came out in February with our view on the Mail market of the future is looked into quite some possibilities of future scenarios. We looked into should we for example price differently over the regions in the Netherlands. We looked into should we do the delivery totally different from what we do today. But in the end the best alternative to come up with and best is looked into from several angles. The angle of keeping the margins of Mail in the Netherlands as high as possible so not creating extra substitution. We looked into it from the angle of is it doable in the sense of is it an operational change that we can handle. We looked into it does it mean that we keep the amount of jobs for people as much as possible up to the level where we want them to have which is not only gives us a certain amount of certainty on job security but what is crucially important for us it means that there is none or very less redundancy fees we have to pay so we looked into it for from quite some angles. That's why we came up with the fact that we said we want to move all the Mail we have which is business Mail and universal service obligation Mail to a D+2 which is D when you post it today deliver it within two days and over time to a D+3 which is posted today and deliver it within three days and when the moment of the D+3 is there depends mainly on a volume decline for the years to come. What we added to that is when we look into the speed with which we lose margins and therefore also the reason why we're loss making at this moment in time we think that the financial contribution of government is crucially important and that is the reason why it's, I would say, a twofold solution, it's changing postal law with all the obligations which are there for the universal service obligation and change them into something which fits much more to current times and to current desires of consumers and customers. And secondly create a framework in which we can do -- in which we can have a certain financial contribution if necessary on our mandatory -- legally mandatory universal service obligation.
Andre Mulder: You still talked about price increases what kind of [Technical Difficulty] do you see between the price increase and the financial contribution?
Herna Verhagen: Yeah. We didn't.
Andre Mulder: Can it be all financial contribution without any price increase?
Herna Verhagen: Yeah. That in the end is, of course, a political debate, and therefore, also a political decision. We didn't talk yet about how does a financial contribution look like, what do you take into account and what not, that's hopefully, what will come over the next coming period. But in the end when it comes to the universal service obligation, it's of course, a decision which has to be taken by Parliament. If they think that a decision needs to be taken that price increases over the next coming years on the USO are limited then that means probably that the financial contribution needs to be bigger. So there is of course a balance which they need to strike. But that's our view on the future of Mail and assets. We've looked into it from many angles we looked into quite some alternatives but in our view this is the best way forward.
Andre Mulder: Okay. Thanks.
Operator: Thank you. We'll now move on to our next question. Our next question comes from the line of Othmane Bricha from Bank of America. Please go ahead. Your line is open.
Othmane Bricha: Thank you very much. Good morning. I've got three questions please. First one on Parcels. Can you give a bit of color on the intense competition there? Where do you see the intensifying competition? Do you see increasing investment in new capacity? Are -- is the competition targeting specific customer segments? And can you comment on the level of price increases that they charge or compared to yourselves? And for Q4 can you comment on the contribution of pricing versus volumes that you expect? Second question on wage inflation in 2025. So you've done this recent PostNL CLA you've done also earlier in the year another CLA I believe in the spring. Can you aggregate on how you see wage inflation in 2025 and is there any difference between Mail and Parcels given the different labor structure? And a last question for Herna, what motivated your decision to step down please? Thank you very much.
Pim Berendsen: Okay. I don't think I've said or nor did I meant to say that the competition is increasing. We already live in very competitive landscape for quite some time and that hasn't changed. And next to the development of client concentration those are the elements that trigger the mix effects and the price developments at our end. So there is already fierce competition. You see some making different choices as to how much of also their organic cost increases they want to pass on through their clients. I would say clearly in my view the industry would require because whether or not you're at PostNL or somebody else energy, petrol becomes more expensive. The labor market is tight for everyone. So logic would say pass those organic cost increases on to your customers. Some don't or some don't fully. But luckily there's also more to it than price for customers deciding which carrier to take. That's why the strategy that we follow and will continue to follow is so important for us. So being the favorite deliverer, having the best service offering, having the highest NPS scores, being the most innovative will help keeping that position. And as I said market share has remained stable over the past period again. So the wage inflation I must say I've not done the calculation myself to give you an absolute number on 2025. But you know the baseline, you know the quarterly increases of the two collective labor increases that we have communicated. And the split is of course that the Mail delivers collective labor agreement only relates to Mail, whilst the collective labor agreement that we have recently concluded covers also staff both in Mail, as well as head office and as well in Parcels. So I don't have an absolute euro split of future organic cost increases. We'll certainly make that part of our outlook in February. Herna?
Herna Verhagen: Yeah. I think I've been now CEO for almost 13 years and there's always then a moment that you think this is a good time to leave and there are always many reasons behind. So it's difficult to pinpoint one. But what plays for sure a role is the fact that I have a very good successor where I have full trust that he will succeed and will make PostNL an even bigger success. And secondly it also means that with of course the succession from myself by Pim, the Supervisor Board also has chosen for a continuation of strategy, which is important in my view for this organization as also stressed by Pim in one of the answers he just gave. But also because for our employees, for our stakeholders and for, of course, continuing PostNL as an important e-commerce logistics player and postal carrier going forward. My leave or the announcement of my leave has nothing to do with what happens currently or what is currently happening around PostNL. I think when you -- when I think back on the last 13 years and some of you in this call have been with us all those years fortunately, then there are always challenging moments for PostNL. And I think that is part of what this organization is. It's part of the work we do. It's sometimes also part of the fact of being a stock listed company that also fulfills an important task for society. So it's personal, it's business, it feels like a logical moment. Fortunately, still five months to go in my role and also five months together with Pim and making sure that he has the best start for PostNL.
Othmane Bricha: Thank you.
Operator: Thank you. Due to time constraints we'll move on to our final question. Our final question today comes from the line of Stefano Toffano from ABN AMRO ODDO. Please go ahead. Your line is open.
Stefano Toffano: Yes. Good afternoon, everybody. So three small questions from my side. What is on Parcels and the September volume growth, which obviously trending very well also I understand in October. I was wondering how much of this is due to a catch-up effect perhaps given a few maybe softer months. Then my second question is on the free cash flow generation, because I'm a little bit surprised by the now four-year flattish free cash flow guidance. So you today you have been trending on the free cash flow generation roughly in line with last year and given a stronger Q4 compared to last year as expected and perhaps also maybe bigger working capital swings given the concentration of big volumes in this year. I was maybe expecting a little bit higher free cash flow than the zero. And maybe last question related to this one, so you're still guiding for net adjusted net leverage below 2 times by my calculations you are pretty close to that. Let's say that if you know Q4 would be a not so successful quarter. Let's hope obviously it will be. But if it disappoints, how flexible are you on the 2 times versus your dividend strategy? Thanks.
Pim Berendsen: Thank you, Stefano for your questions. Let's have a look. Well, September Parcel growth, catch-up effect that's very difficult to say. But the summer period July and August was indeed very slow. And that's why we're happy to see the very good September month both in terms of volume growth, as well as EBIT contribution and you then also see the model working again. So with higher growth rates operational efficiency increases the contribution from additional volume growth to P&L to bottomline will increase. So I don't know whether or not it's been kind of catching up from a slow summer season. We're happy with what we see in September and happy to see that trend both in terms of International and Domestic continuing into the first weeks of October. So on the free cash flow, I think we're slightly below last year for the first nine months and there's still a bit of work to do, of course. Not all Q4 results contribution will also lead to cash ins in 2024. Although, we don't have payment dates of 180 days, we sometimes have payment dates of 30 days or 45 days, which means that the cash in of some of the peak volumes will come in in the beginning of 2025 and 2024. So those are key elements behind the logic that we now expect to be around zero. With what we are seeing, there's still a headroom towards 1 point towards the 2.0. So even if we would come up short on predominantly the composition of the volume growth at e-commerce we still believe there's enough room towards the 2.0. If it really turns too negative, yeah, then we'll have to look, but I think we've been clear and stating that we are intending to pay a dividend. We're intending to follow the dividend policy and we're confident that we'll not exceed the 2.0 leverage by the end of this year nor next.
Stefano Toffano: Thank you, Pim, and again congratulations on your promotion.
Pim Berendsen: Thank you very much.
Operator: Thank you. This concludes today's question-and-answer session. So, I'll hand the call back to Inge for closing remarks.
Inge Laudy: Yeah. Thank you for listening in today. Thank you for all your questions and speak to you in the new year I would say. Bye-bye.